Operator: Greetings, and welcome to the ProFrac Third Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Michael Messina, Vice President of Finance. Please go ahead.
Michael Messina: Thank you, operator. Good morning, everyone. Thank you for joining us for ProFrac Holding Corp.'s conference call and webcast to review our results for the third quarter ended September 30, 2025. With me today are Matt Wilks, Executive Chairman; Ladd Wilks, Chief Executive Officer; and Austin Harbour, Chief Financial Officer. Following my remarks, management will provide a high-level commentary on the operational and financial highlights of the quarter before opening up the call to your questions. A replay of today's call will be made available by webcast on the company's website at pfholdingscorp.com. More information on how to access the replay is included in the company's earnings release. Please note that information reported on this call speaks only as of today, November 10, 2025, and therefore, you are advised that any time-sensitive information may no longer be accurate at the time of any subsequent replay listening or transcript reading. Also, comments on this call may contain forward-looking statements within the meaning of the United States federal securities laws, including management's expectations of future financial and business performance. These forward-looking statements reflect the current views of ProFrac's management and are not guarantees of future performance. Various risks, uncertainties and contingencies could cause actual results, performance or achievements to differ materially from those expressed in management's forward-looking statements. The listener or reader is encouraged to read ProFrac's Form 10-K and other filings with the Securities and Exchange Commission, which can be found at sec.gov or on the company's Investor Relations website section under the SEC Filings tab to understand those risks, uncertainties and contingencies. The comments today also include certain non-GAAP financial measures as well as other adjusted figures to exclude the contribution of Flotek. Additional details and reconciliations to the most directly comparable consolidated and GAAP financial measures are included in the quarterly earnings press release, which can be found at sec.gov and on the company's website. And now I would like to turn the call over to ProFrac's Executive Chairman, Mr. Matt Wilks.
Matthew Wilks: Thanks, Michael, and good morning, everyone. I'll kick things off with some brief comments, then hand it to Lad to dive into segment performance and Austin will follow with our third quarter financials. Q3 began with the modest market improvements we highlighted during our August earnings call, where we noted that conditions had stabilized compared to our Q2 exit levels, with some crews returning to work mid-quarter. During August, we experienced a sequential improvement in both activity levels and pump hours as customer programs continue to materialize. However, September witnessed a sharp deterioration as customers implemented program deferrals resulting in increased calendar white space. This volatility reflects the broader challenges facing the U.S. onshore completions market where operators continue to exhibit cautious capital deployment. In response to market conditions, we have recently taken meaningful steps to adjust our strategy to build a sustainable, resilient business model poised to perform through the cycle. We are prioritizing dedicated fleets paired with operators conducting more robust, less volatile programs. Moreover, we are optimizing our cost structure with a focus on operational and capital efficiency. In addition to a renewed focus on efficiency, the company has identified initial COGS, SG&A and capital expenditure savings of $100 million at the midpoint on an annualized basis by the end of the second quarter 2026. The savings are comprised of $35 million to $45 million, driven by both COGS and SG&A labor reductions that have already been implemented an additional $30 million to $40 million identified across nonlabor items. In addition to $20 million to $30 million of reduced CapEx primarily driven by optimizing the utilization of active assets. The company believes that this is the first step in its business optimization plan. and that additional savings are possible. Turning briefly to Q4. We have not experienced further calendar deterioration with improved activity in October versus our Q3 exit, in fact, we saw certain programs that had been deferred from September, returned to the calendar in addition to deploying assets under a new contract with a large operator. Although we typically witnessed Q4 seasonality we are proactively implementing measures to mitigate the impact. Zooming out, we believe maintenance drilling and completion activity is below necessary levels to sustain flat shale production in U.S. land. Consequently, assuming the macroeconomic backdrop is supportive, we expect global supply imbalances to normalize in 2026 as operators will need to gradually accelerate completion activity to overcome natural production decline. The natural gas sector's outlook remains favorable, driven by expanding LNG export capacity and rising power demand. Both factors that should support improved completion fundamentals in 2026. As such, we continue to believe that hydraulic fracturing market dynamics create a compelling setup for the future with industry-wide sustained capital discipline, increased equipment attrition and more disciplined new equipment additions, we see the potential for meaningful supply-demand tightening should drilling and completion activity accelerate. I'd like to thank our employees for their continued hard work and focus as we position the company for success through the cycle. Against current market conditions, we are controlling what we can control by executing a comprehensive cost management strategy that positions ProFrac for both near-term operational flexibility and long-term value creation. In October, we completed a thorough review of our labor costs across COGS and SG&A and executed a headcount reduction. We believe this initiative rightsizes our business for near- and medium-term demand and estimate $35 million to $45 million of annualized savings. Additionally, we have identified $30 million to $40 million of nonlabor expenses with a streamlined focus on nonlabor operating expenses. We're improving the cost profile of our fleet with stricter enforcement of our centralized control of equipment through our asset management program, which will reduce maintenance performed at districts. Additionally, we are optimizing the mix of equipment assigned to each fleet to further limit nonproductive time, mitigating interruptions to field operations. We are confident that these actions will also improve the efficiency and effectiveness of our maintenance capital expenditures where we have identified $20 million to $30 million of additional cash savings. In August, we completed an equity offering that netted us nearly $80 million in proceeds. We deployed a portion of these funds to pay down the ABL and for general corporate purposes, including working capital. We are also being thoughtful and deliberate in how we use the levers at our disposal from the innovative transaction we entered into with Flotek in April. As a reminder, this strategic partnership involves the sale leaseback of our mobile power generation solutions for $105 million in total consideration, structured to provide both immediate liquidity and long-term value participation. The transaction gave us approximately 60% of the pro forma fully diluted equity ownership of Flotek Industries, positioning us to benefit from what we estimate to be a $3 billion to $6 billion market opportunity for gas conditioning solutions across diverse end markets, including data infrastructure, petrochemical facilities, upstream energy and broader natural gas utilization sectors. Now we're strategically utilizing the financial flexibility this partnership provides. Specifically, on Friday, November 7, we completed the sale of the $40 million seller note that forms part of the original consideration structure. As we noted when announcing the original transaction, the deal represented an evolutionary step forward in our business relationship with Flotek. And these current actions allow us to realize value from the strategic partnership while maintaining our collaborative relationship and ongoing lease arrangements. We remain very excited about our continued exposure to the gas conditioning and power generation markets through our Flotek ownership. Beyond Flotek, we are also planning to proceed with our previously announced senior secured notes program, which we established in the second quarter as part of our strategic liquidity enhancement initiative. As a reminder, in June, we successfully executed a series of transactions expected to provide approximately $60 million in incremental liquidity through 2025, including an initial $20 million issuance of additional 2029 senior notes completed in Q2 and commitments for two additional $20 million tranches at our discretion. We deferred the September tranche to December and now anticipate closing the remaining $40 million in December. Lastly, we are currently pursuing up to an additional $40 million of capital in the form of new notes. In total, the completed and planned capital raises could provide as much as $200 million in cash. While market conditions remain volatile, we believe these proactive measures, coupled with our cost savings initiatives demonstrate our commitment to maintaining financial flexibility and building a resilient platform. Looking ahead, we maintain incremental flexibility to access additional sources of capital in response to evolving market conditions. However, I want to be clear that as we execute our business optimization and cost management initiatives, I believe that the potential need for additional capital will diminish or become unnecessary. Beyond these financial initiatives, it's important to highlight that our vertically integrated platform and technology leadership continue setting ProFrac apart, controllable factors that strengthen our competitive position regardless of market conditions. Our vertically integrated platform remains a fundamental advantage, combining sophisticated asset management with in-house manufacturing capabilities that deliver both strategic flexibility and cost benefits. These unique attributes position us to capitalize on market recovery, while maintaining our strong position in dual fuel and electric fracturing capabilities, technologies that garner the highest demand. Our technology leadership through ProPilot 2.0 and our strategic partnership with Seismos, announced during the quarter continues to deliver measurable outcomes during this challenging environment. ProPilot 2.0 is providing its value as a cost optimization tool. For example, realizing fuel economy improvements as high as 26%. Our Seismos collaboration introduces closed loop fracturing capabilities that represent the next evolution in completion solutions. Ladd will provide more detail on how these technological differentiators are driving improvements across our operations. In Q3, we generated revenues of $403 million adjusted EBITDA of $41 million and free cash flow of negative $29 million. This compares with revenues of $502 million, adjusted EBITDA of $79 million and free cash flow of $54 million in Q2. These results reflects the volatile market we experienced during the quarter. In summary, we are adjusting our strategy to build a sustainable, resilient business model poised to perform through the cycle. We are prioritizing dedicated fleets paired with operators conducting more robust, less volatile programs, resulting in higher efficiency and improved control over our operations. Our proactive execution of a comprehensive cost and capital management strategy positions ProFrac for both near-term operational flexibility and long-term value creation with $100 million of structural cash savings identified across operating and capital expenditures. We have raised or plan to raise up to approximately $200 million of incremental capital. Raised nearly $80 million of net proceeds related to the equity offering in August, executed on the sale of the $40 million Flotek seller note sale at par to a Wilks affiliate. Plan to issue the remaining $40 million balance of the $60 million total commitment of senior secured notes to CSG and Wilks affiliates, pursuing capital in the form of incremental debt targeting up to $40 million. Upon full realization of our cost management initiatives, we believe we have built a full cycle model, reducing or eliminating the need for further capital raises. We maintain selective fleet utilization and customer focus driving higher efficiency and improved asset allocation. And finally, we remain confident that market dynamics may create a compelling setup for the future, including maintenance drilling and completion activity is below necessary levels to sustain flat shale production in U.S. land. Natural gas sectors outlook remains favorable, driven by expanding LNG export capacity and rising power demand. In hydraulic fracturing, sustained capital discipline, natural attrition and limited new equipment additions could result in supply-demand tightening. When fully realized, our cost and capital management measures should deliver much of what we would hope for from a market recovery. Now I'll hand the call over to Ladd.
Ladd Wilks: Thank you, Matt, and good morning, everyone. I'll provide more granular detail on several things Matt touched on, starting with our operational performance during the quarter. But first, I'd like to join Matt in thanking our employees, their dedication and teamwork are what keep us moving forward. In Stim Services, we experienced the market dynamics Matt described with Q3 presenting a tale of very different periods that drove operational challenges. As Matt noted, we entered Q3 with the modest market improvements we highlighted during our August earnings call. July has represented what we believe to be the trough period. August built on this foundation, delivering solid sequential improvement in both activity levels that some operators resume executing on their completion schedules. We saw increases in activities that reinforce our view that market conditions were stabilizing. However, September presented us with some surprising headwinds. What has appeared to be strengthening calendar coming into the month deteriorated as customers implemented project delays and deferrals. What made September acutely difficult was the nature of the activity disruption. Unlike a gradual decline that allows for systematic cost adjustments, we experienced several head fakes, programs that were delayed with minimal notice, this created substantial operational inefficiencies as we carried semi-variable costs. The pricing environment during the quarter reflected more customer and geographic mix and broader market pressures with revenue per pump hour declining temporarily into the end of Q3. Combined with activity volatility, this created a meaningful margin compression in the quarter. From a fleet deployment perspective, we maintained our selective approach with an average fleet count in the 20s, though effective utilization was impacted by white space issues just mentioned, especially in September. Looking ahead to Q4, we're encouraged by signs of stabilization we observed in October with some of the activity that was deferred in September returning to the calendar. Additionally, we executed on a contract for multiple fleets with a large operator that kicked off in early October. In parallel, we have continued to evaluate and implement operational adjustments across certain fields and administrative functions to optimize our cost structure. Turning to our profit production segment. Alpine Silica delivered somewhat resilient performance despite the market conditions affecting our Stimulation Services business. Q3 revenues for Alpine remained essentially flat compared to Q2, with volumes relatively stable during the quarter. This demonstrates the value of our diversified customer base and our ability to serve third-party customers beyond our internal operations. However, we did experience margin compression during the quarter. primarily a result of a shift in volumes from South Texas to the highly competitive West Texas market. Looking ahead, we maintained a strong market position in the Haynesville region, where we anticipate eventual increased natural gas activity will drive improved performance. Further, our throughput improvement initiatives in South Texas continued progressing establishing us well to capitalize on Eagle Ford demand. West Texas has seen improved volumes and demand, although pricing remains competitive. In Q4, we anticipate an improvement in results, though we remain cautious given current market conditions. Turning now to capital allocation. Based on the deterioration in market conditions we experienced in late Q3, we're again demonstrating the flexibility provided by our comprehensive asset management program. We now expect capital expenditures to be $160 million to $190 million for 2025, representing an approximately $25 million reduction at the midpoint from our previous guidance of $175 million to $225 million. This reduction reflects both the reality of current activity levels and our commitment to maintaining financial discipline. Our asset management platform enables these reductions while ensuring we maintain our competitive positioning and equipment reliability standards. This flexible approach to capital deployment. Our ability to scale spending up or down based on market conditions while preserving our technological advantages continues being a key differentiator in managing through volatile market cycles. Now I want to expand on the operational and technological differentiators that Matt mentioned. These are the detailed execution elements that truly set us apart. Our asset management program continues generating strong results with our integrated approach to fleet deployment and maintenance optimization proving incredibly valuable. Equipment reliability and performance metrics remain at elevated levels despite increased operational demand directly attributable to the quality of our people, coupled with proprietary automation systems. Our manufacturing platform provides substantial cost advantages across fleet construction, legacy equipment upgrades and asset standardization, all at cost below the third-party alternative. This internal capability ensures quality control and deployment flexibility while maintaining our competitive moat. Technology leadership drives sustainable competitive advantages through assets such as our ProPilot automation platform. ProPilot 2.0 is proving its value as a cost us optimization tools, delivering reductions in labor requirements and maintenance expenses through intelligent automation. The platform's predicted taxability optimize maintenance intervals and enable more efficient preventative maintenance. We're also excited about our strategic partnership with Seismos, announced in August. Which introduces closed-loop fracturing capabilities across all major U.S. basins. This collaboration represents the next evolution of our technology leadership, combining Pro Pilot's proven surface automation with Seismos, advanced subsurface intelligence to deliver unprecedented operational control and performance optimization. The partnership offers two deployment models supervised mode enables real-time decision-making through continuous subsurface data streams, allowing engineers to optimize stage design and fluid placement while operations are active. While unsupervised mode provides fully automated execution based on predefined parameters, reducing overhead and increasing operational consistency. This technology stay integration is designed to scale across our entire fleet, preparing us to serve super majors and leading independents with measurable performance improvement. Importantly, Seismos acts as an independent auditor for downhole performance, allowing for dynamic completion design and predefined intervention measures to improve well performance. This partnership reinforces our dedication to bring customers the most advanced fracturing technology available while maintaining our competitive edge through innovation. I will now hand the call over to Austin to cover our financial results in more detail.
Austin Harbour: Thank you, Ladd. In the third quarter, revenues were $403 million compared to $502 million in the second quarter. We generated $41 million of adjusted EBITDA with an adjusted EBITDA margin of 10% compared to $79 million in the second quarter or 16% of revenue. Free cash flow was negative $29 million in the third quarter versus $54 million in the second quarter. The volatility in activity throughout the quarter created inefficiencies and negatively impacted results. While the third quarter presented challenges, we've taken decisive actions to build a resilient platform poised to perform through the cycle. As Matt outlined, we have adjusted our strategy to prioritize dedicated fleets paired with customers that provide the more stable programs. In concert, we are implementing comprehensive cost and capital saving initiatives, which we believe will result in $100 million of annualized cash savings by the end of the second quarter of 2026. In October, we completed a thorough review of our labor costs across COGS and SG&A and executed a headcount reduction. We believe this initiative rightsizes our business to align with our revised commercial and operating strategy. Ultimately, we estimate $35 million to $45 million of annualized savings. Additionally, we have identified $30 million to $40 million of COGS and SG&A nonlabor expenses with a streamlined focus on nonlabor operating expenses. We are improving the cost profile of our fleet with stricter enforcement of our centralized streamlined control of equipment through our asset management program which will reduce maintenance performed at districts. Lastly, we are optimizing the mix of equipment assigned to each fleet to further limit nonproductive time, mitigating interruptions to field operations. We are confident that these actions will also improve the efficiency and effectiveness of our maintenance capital expenditures where we have identified $20 million to $30 million of additional cash savings. Of note, the company believes that this is the first step in its business optimization and that additional savings are possible. We look forward to providing updates on our progress in the future. In addition to cash savings initiatives we have executed on or are targeting capital raises that could generate up to $200 million. Key components include the sale of our $40 million Flotek seller note, which closed last week. Our plan to issue the remaining $40 million of incremental senior secured notes in mid-December. Our active process targeting up to an additional $40 million in incremental debt, $79 million of proceeds from the equity offering in mid-Q3. Additionally, we are actively pursuing other sources of capital in the form of noncollateralized asset sales. Importantly, upon full realization of our cost management initiatives, we believe we will have built a full cycle model, reducing or eliminating the need for further capital raises. Turning back to our Q3 performance in our segments. Simulation Services revenues declined to $343 million in the third quarter from $432 million in the second quarter, primarily due to a reduced fleet count and increased white space. Adjusted EBITDA fell to $20 million from $51 million in Q2 with margins of 6% versus 12% in the prior quarter. Operational disruptions created by frequent or sudden changes in customer scheduling resulted in unabsorbed costs and compressed our margins. Additionally, this segment incurred shortfall expenses of $9 million related to our supply agreement with Flotek up from the previous quarter. Our Proppant Production segment generated $76 million of revenues in the third quarter, effectively flat from $78 million in Q2. Approximately 44% of volumes were sold to third-party customers during the third quarter versus 48% in Q2. Adjusted EBITDA for the Proppant Production segment was $8 million for the third quarter versus $15 million in Q2. and EBITDA margins were 10% in the third quarter versus 19% in Q2. The decline in margins during the quarter reflected customer and geographic mix shifts as well as a slow start to the quarter, resulting in lower operating leverage. Our focus on operational excellence at Alpine, including throughput improvements and quality enhancements as well as our exposure to natural gas regions, including the Haynesville and South Texas, set us up nicely to capture margin expansion when market activity increases. Our Manufacturing segment generated third quarter revenues of $48 million versus $56 million in Q2. Approximately 82% of segment revenues were generated via intercompany sales compared with 78% in Q2. Segment adjusted EBITDA of $4 million compared with $7 million in Q2. The decline in segment results reflects decreased volumes of products sold to intercompany customers. Selling, general and administrative expenses were $43 million in the third quarter, improved by 17% from $51 million in Q2. This reduction demonstrates our commitment to managing our overhead structure in line with business activity levels without sacrificing our ability to invest in strategic initiatives. Cash capital expenditures decreased to $38 million in the third quarter from $43 million in the second quarter. We now expect capital expenditures to be $160 million to $190 million for 2025, representing a further reduction from our previous guidance of $175 million to $225 million. This adjustment reflects both activity levels and our commitment to maintaining financial discipline. Our asset management platform enables these reductions while ensuring we maintain our competitive positioning and equipment reliability standards. Total cash and cash equivalents as of September 30, 2025, were approximately $58 million, including approximately $5 million attributable to Flotek. Total liquidity at quarter end was approximately $95 million, including $41 million available under the ABL. Borrowings under the ABL credit facility ended the quarter at $160 million, modestly down from $164 million on June 30, demonstrating our continued focus on balance sheet optimization. As mentioned earlier, we completed an equity raise in August totaling approximately $79 million that enabled us to pay down the ABL line for general corporate purposes, including working capital management. As of September 30, we had approximately $1.1 billion of debt outstanding with the majority not due until 2029. We repaid approximately $32 million of long-term debt in the quarter. As touched on earlier, we deferred issuance of the second $20 million tranche of 2029 senior notes structured in Q2 from September to December. We expect the remaining $40 million to be issued in December. Wrapping up my section, while the third quarter presented challenges stemming from customer activity adjustments, we've taken decisive actions to position ProFrac to weather the storm. We are optimizing our strategy implementing material cost and capital savings initiatives and building a resilient model that is poised to generate free cash flow through the cycle. That concludes our prepared comments. Operator, please open the line for questions. Thank you.
Operator: [Operator Instructions] Our first question is from Stephen Gengaro with Stifel.
Stephen Gengaro: Thanks. Good morning, everybody. I think the first question and one of the things we hear a lot about is just the various pressure pumpers and their pricing strategy in the market. And when we hear from some of the bigger players, they complain about some others who are more aggressive on the spot pricing side. How do you approach? And I know you talked a little bit about this in your business optimization discussion, but how do you approach the pricing side? And what do you see in the overall market as far as the way the market is behaving right now?
Matthew Wilks: So it's been relatively consistent. But whenever you look at spot pricing compared to longer programs, they've been pretty in line relative to each other for about the last year. But I think with the availability of equipment and as we look out into 2026, our approach has been to focus more on reliable, consistent programs. And as we continue to fill out our entire schedule and our outlook on 2026, we would expect to see spot work and its pricing to start returning to where it was historically where typically you would see spot pricing higher than committed dedicated work.
Stephen Gengaro: Okay. And when you talk about the outlook for the segments and you talk about profitability maybe picking up despite kind of a lower fleet count and softer pricing, how do we reconcile those?
Matthew Wilks: Yes. So we're looking at holding in at the mid-20s and focusing on our cost controls, our processes to make sure that what we've run into in the past is going and adding a bunch of fleets for Q1 and then by April, it rolls over. And so we owe more to our workforce to maintain consistent fleet count. And so given the opportunity to ramp up and increase fleet count, we would rather focus on using the increase in activity to build out a better book and focus on reliable consistent work so that we can maintain our headcount, also maintain our equipment and better condition more reliably for the dedicated customers that we're focusing on. All of this delivers better revenue, higher revenues per fleet and an overall lower cost structure per fleet.
Stephen Gengaro: Okay. So that's sort of the step-up because when you say in Stimulation Services, that activity flattish fleet count, pricing lower, but profitability higher. That's what I was trying to reconcile.
Matthew Wilks: I mean, really. Pricing is relatively flat, but we're seeing some green shoots here and there related to ancillary items and not specifically horsepower rates. But when you look at the additional services that are built around your base horsepower, we're seeing some really positive signs there. And really, it's -- this is utilization game, getting consistent customers with a reliable schedule and being able to benefit from the operating leverage is tremendous.
Operator: Our next question is from John Daniel of Daniel Energy Partners.
John Daniel: I might violate protocol and ask a bunch of questions, so I apologize in advance, you can always kick me off. But the dedicated versus spot math, that's interesting. You mentioned mid-20s today active. Would you be willing to share what portion of those are dedicated right now?
Matthew Wilks: Let's see, about 80%. And it's quickly shifting to where we think we'll be in the high 90s as we roll into 2026.
John Daniel: When you referenced or maybe this lot referenced the head fake, was that on spot work? And is that kind of what prompted this sort of reassessment?
Matthew Wilks: It's mostly on spot, but there were some well issues and things like that, that pushed the schedule back a little bit. But these weren't changes to programs, but it was just a delay to existing programs. So we saw the stuff that pushed in September started up in October.
John Daniel: Okay. And then eventually, spot pricing should, in theory, come back. Would you hazard a guess as to what type of recovery and spot pricing would you want to see where you might sort of revisit the incremental spot mix in your business?
Matthew Wilks: Well, the main thing is that we're just not as interested in chasing. And so I think it would have to be pretty material for us to want to go in and look at activating fleets, as well as taking on more employees to cover temporary work. It's -- a lot of it comes down to how reliable is the spot work and do we have the ability to fill in any white space that comes with it by finding other customers that can fill in those gaps. As far as like exactly what that pricing is, the assumptions you have to make on utilization, it's it would have to be much higher than it is today and we think that we'll see that at some point in 2026. And so we'll revisit this at the appropriate time to see if this is something that makes sense for us to take on the additional operational burden the complexity that it creates for the business and as well as the challenges it creates for your workforce.
John Daniel: Okay. Two more, and I promise to hang up. the cost savings are significant. If we have a steady state environment over the next several quarters, would you then characterize all these cost cuts is permanent, if you will. I mean I know how costs can creep back if the business is ramping, but how would you characterize that?
Matthew Wilks: Now these -- every one of these cuts are sustainable. So we went in and we looked at historical levels where we had Q1 of each year and then also going back in and looking at 2022, what was our headcount, what was our utilization on assets, and how tightly did we manage that? So we went back in and looked at what are the sustainable levels where we know that where our cost structure should be, where should our head count be and making sure that we don't come in and bring these to a level that's unsustainable. We wanted to make sure that we had the right number of people on location that we didn't have extras, but we didn't have too few. Also, going in and looking at the cycle counts and the efficiency of our maintenance programs on how quickly we turn assets when they do go down, so that we can get them back in line and getting higher utilization rates. And so it's going to a fixed number of fleets and maintaining that level improves our ability to go through and look at every single discipline, every vertical in our business to really refine our cost structure and our processes so that the equipment on location is more reliable. It's in better condition. And if you take care of it on the back side, then when it's at the wellhead, it performs much, much better. And because of the utilization, you get to dilute any associated costs in a much more reliable way.
John Daniel: Okay. And the final one, and I apologize if I'm sitting here to guess it. I don't have on my data, but I want to say it's -- the question is around continuous pumping, Diamondback referenced that on its earnings calls. And I want to say they talked about 30% efficiency gain or something to that end. Can you talk to us about what you're seeing in terms of customer interest and continuous pumping and just elaborate on that trend and what it entails?
Matthew Wilks: It requires a lot more horsepower as you go in and look at how -- you still have to maintain this equipment. You still have to build in maintenance windows. And so you can do that with additional equipment so that you can cycle through banks where at any one time, one of your banks will be in a maintenance period while the other banks continue pumping. So it's -- we've seen some situations where the benefits outweigh the costs. But I think each operator is different, how they lay out their they're well inventory, how they line up the schedules, there's a different solution for each operator. So we've we constructively work with every one of our customers to give them the most efficient program. And it really comes down to making sure we have those appropriate maintenance windows.
Operator: Our next question is from Dan Kutz with Morgan Stanley.
Daniel Kutz: I was hoping maybe somewhat similar line of questions to the last two, but just focusing on the Pro Production segment. Just thinking about your outlook, I was hoping maybe we could kind of unpack the comments. So higher volumes and throughput but still some pricing pressure. Is -- are you guys kind of thinking about flat revenues in the fourth quarter for Proppant production? And I guess, specifically on the higher volumes comment, could you kind of unpack where that's coming from? Is it internal or external? Or is it? It would be great if you could just give us figure out a little bit deeper on those comments.
Matthew Wilks: Yes. So on the Proppant Segment, we've been more exposed to the spot environment, more so than what some of our peers have experienced. I think when you look at the spot environment, it's been relatively consistent. Haven't really seen pricing pressures as much within individual markets. Where we saw a reduction in ASP was more so from a mix shift as we had an increase of volumes in West Texas and a dip in volumes in South Texas. When we look at the South Texas and the Haynesville and then also the Haynesville market, pricing is much stronger than what we see in West Texas. And so as we look into Q4, we're seeing an increase in volumes in those areas where we see better pricing. But we also see an improvement going into 2026, where increase in volumes in South Texas as well as in the Haynesville will have a material impact to our ASP and the revenue for our Proppant Segment.
Daniel Kutz: Great. That's helpful. And then just staying with Proppant. So the improved sequential profitability results could you kind of quantify in the fourth quarter, could you help us think through how much of that is the early benefits of this cost-out program? Or I guess, even taking a step back, we appreciate all the color in terms of where the components of the cost out program will kind of hit the P&L and color statement. But maybe could you talk through any kind of breakout of the cost-out initiatives by segment. Yes. So just how much of cost out is driving the 4Q outlook for improved profitability and Proppant Production? And then maybe a little color on the segment breakdown of the cost-out initiatives.
Matthew Wilks: No, it's a great question. We typically don't break out the split between the two, but the majority of it is on the Stimulation Services business. When we look at the Proppant Segment, we've had it running pretty lean for quite a while. But most of the improvement there will come from operating leverage and a substantial increase in utilization, which we're already seeing.
Daniel Kutz: Great. Understood. And maybe if I could just sneak one more in. Could you just talk about where fracs kind of nameplate capacity is on the frac side right now, any kind of attrition you're expecting? And I think that you guys said that the e-frac new build has kind of come to has stopped or paused. But I know that you guys were still doing some Tier 4 DGB upgrades. And yes, just wondering if you could give us a lay on where you're capacity is at now by technology and where you kind of see it trending over the next couple of quarters?
Matthew Wilks: Certainly. So when we look at the premium fleets and essentially fleets that can give the best fuel economy the e-fleets as well as the dual fuel fleets have shown to have the highest demand and have the best opportunities to see the highest utilization. That continues to be the -- it continues to be the case. However, diesel pricing is the cost of diesel is pretty low right now. So the degree of the savings isn't quite what it has been in the past. But -- it's still a huge driver for operators as they look at how much it cost to run a program and what configuration they need on locations. So we continue to see that. We've got very high utilization on our e fleets as well as our dual fuel program and especially as we roll into '26, we're we expect to -- we're already seeing it. We're seeing full uptake of those platforms.
Operator: Our next question is from Don Crist with Johnson Rice.
Donald Crist: Thanks for letting me Matt, I wanted to get your thoughts on the Haynesville kind of as we go into '26. I mean, obviously, there's a lot of industry chatter on LNG and all the things. And given your position, surrounding that basin. Kind of what are customer conversations from your standpoint around the Haynesville as we kind of move through '26?
Matthew Wilks: There's a great deal of excitement. We're seeing activity increase. We're seeing the number of players, the number of operators starting to round out operators that have been have had slower programs or no program have started bringing activity back and putting plans together. The overall chatter around the gas market is very encouraging as well as. We're just seeing a lot more conversations and a lot more certainty to the programs. And it's good to see, it's good to see. We're pretty encouraged by what we're hearing from operators and how much more sticky their programs look?
Donald Crist: And do you think that the timing is kind of earlier or later in the year or kind of a steady ramp-up through the year?
Matthew Wilks: A great start to 2026. Some of that stuff is getting pulled into December. And then as we roll through the year, it's I think what we start the year with will carry on throughout the year with potential option to increase activity. Everybody is watching it real closely to see really how it plays out. But nobody wants to ramp up and grow into a head fake. And so, so far, what everybody is seeing they love it, they want to see more of it. But I think, yes, it's been a tricky commodity in previous years. So everybody is cautiously optimistic.
Donald Crist: I appreciate that. And my last question and obviously, through my coverage list, I cover Flotek, I fully appreciate the opportunity set there. But have you considered peeling off a few shares there? Because overall, it may help with the liquidity of Flotek in the end and actually boost the share price. Just any curiosity if you've explored selling any shares just to kind of help both companies out?
Matthew Wilks: Look, we evaluate all of our assets, and we think that Flotek is an incredible company with huge prospects, very excited about their data services business. And look, we a healthy ProFrac is a healthy Flotek. And so we watch that real close. Our caution is if you did look at that, how do you do it in a way where it provides a book in so that we're not perceived as a continued seller.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to Matt Wills for any closing comments.
Matthew Wilks: Thank you, everyone. We appreciate your time today. Our vertically integrated platform, advanced asset management capabilities and technology leadership to continue differentiating us competitively. Our recent strategic initiatives and transactions demonstrate our focus on operational discipline, efficiency and building a resilient platform poised for success through the cycle. We look forward to speaking with you again when we report our fourth quarter 2025 results.
Operator: This concludes today's conference. We thank you for your participation. You may disconnect your lines at this time.